Operator: Good day, ladies and gentlemen, and welcome to the PGT Incorporated Fourth Quarter 2010 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session and instructions will follow at that time. (Operator instructions) As a reminder, today’s conference is being recorded. I would like to introduce your host for today’s conference Mr. Brad West. Sir, please go ahead.
Brad West: Good morning and thank you for joining us for PGT’s Fourth Quarter and Fiscal Year 2010 conference call. I am Brad West, Corporate Controller, and I am joined today by Rod Hershberger, President and CEO, and Jeff Jackson, Executive Vice President and CFO, and Rod and Jeff will represent PGT in this morning’s call. Before we begin, let me remind everyone that today’s conference call may contain statements concerning the company’s future prospects, business strategies, and industry trends. Such statements are considered to be forward-looking statements under the Private Securities Litigation Reform Act of 1995. These statements are based on our current expectations and are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements. Please refer to the February 24th press release, and our most recent Form 10 – 8K, and other documents filed with the SEC. We undertake no obligation to publicly update or revise any forward-looking statements. A copy of our press release is posted on the Investor Relations section of our corporate website at www.pgtinc.com. Included in the press release are, the unaudited consolidated balance sheet and statements of operations prepared in accordance with GAAP and adjusted information, which was quantitatively reconciled to GAAP. Our company uses non-GAAP measurements as key metrics for evaluating performance internally. A detailed explanation on these non-GAAP measurements can be found in our Form 8-K filed February 24th with the SEC. These non-GAAP measurements are not intended to replace the presentation of financial results in accordance with GAAP. Rather, we believe these non-GAAP measurements provide additional information for investors to facilitate the comparison of past and present performance. For today’s call, Rod will provide an overview of our performance for the fourth quarter and full-year then Jeff will discuss our results in more detail. After their prepared remarks, they will take your questions. With that, let me turn the call over to Rod Hershberger. Rod?
Rod Hershberger: Thanks Brad. Good morning, everyone. I am pleased to report that we closed out 2010 with a 5.9% increase in sales, our first year-over-year sales increase since 2006. This includes an 8.4% increase in our fourth quarter 2010 sales compared to the fourth quarter of 2009. Our growth was driven by our Florida market sales with an increase of $4 million or 14.4% compared to prior year. WinGuard sales increased by $1.7 million or 8% due to both the success of our new aluminum door launch last fall and an increase in vinyl WinGuard sales where many replacement customers took advantage of tax credits offered. Vinyl WinGuard sales into Florida increased a $1 million, including $542,000 in sales into the Southern Part of Florida. Our new PremierVue line of high end vinyl impact products contributed $300,000 in additional sales. Finally, a version of our new vinyl non-impact product SpectraGuard designed for the Florida market and launched last year contributed $1.1 million in additional sales. This growth was partially offset by a decrease in international sales down $400,000 for the quarter and a decrease in our out of state sales of $600,000 or 9.4% driven by curtain-wall revenue down $500,000. Exclusive of curtain-wall revenues, sales in the fourth quarter were up 10% led by increases into both the R&R and new construction markets, both of which increased 10% over a year ago. As a percentage of total sales for the fourth quarter of 2010, R&R sales accounted for 74% and new construction sales accounted for 26% of sales. Comparing our fourth quarter to the prior year fourth quarter, the gross margin contribution from our fourth quarter sales increase was offset by a shift in mix between impact and non-impact and product mix within impact sales. In 2010, we recorded consolidation charges of $885,000 compared to restructuring charges of $1.1 million in 2009. As a percentage of sales, adjusted gross margin was 25.8% in 2010 versus an adjusted gross margin of 28.2% in 2009. SG&A cost, adjusted for the 2010 consolidation charges and 2009 restructuring charges increased $2.1 million due mainly to an increase of $1 million in bonuses, $500,000 in increased salaries resulting from returning employees to their 2009 base, a $600,000 increase in non-cash stock compensation expense and a $300,000 increase in healthcare costs. Driven by our non-cash impairment charges of $5.6 million and a consolidation charges of $2.1 million, we recorded the net loss of $12.2 million for the fourth quarter of 2010. These charges are result of our decision to consolidate our operations into our Florida facility. Adjusted EBITDA was $228,000 in the fourth quarter of 2010, which is down from adjusted EBITDA of $2.9 million from prior year. The decrease in adjusted EBITDA was driven mainly by a shift in mix toward lower margin non-impact products which offset contribution margin gained on additional sales as well as the SG&A increases just described. We recorded an adjusted net loss of $4.6 million in the fourth quarter, compared to an adjusted net income of $2.5 million in the fourth quarter of 2009. Within our core market, total housing starts were down 2.2%. Multifamily starts were up 6.6%, the single family starts decreased 3.7% compared to a year ago. Market conditions remain difficult, but overall housing starts and permits appear to have reached a bottom and are starting to show signs of life. During the fourth quarter of 2010, we announced the decision to consolidate our North Carolina operations into our Florida facility. We expect that consolidation will enhance long-term competitiveness and improve the efficiencies. Annualized savings will be $7 million with about half of that realized in 2011. Approximately 300 new positions are being created in Venice in support of the transition, scheduled to be complete by the end of our second quarter. We received tremendous support from the Local Economic Development Corporation in Sarasota County which proved critical to our decision making process. We believe transitioning to a centralized location will optimize our manufacturing capacity and logistics, positioning PGT to be a stronger company with focus on growing our share within our core wind-borne debris market areas. During the fourth quarter of 2010, we acquired the intellectual property assets of Hurricane Window and Door Technologies of Fort Myers. We purchased the operating assets during 2009 and branded this high-end energy efficient impact vinyl line PremierVue designed specifically for the hurricane protection market. These products provide long-term energy and structural benefits that meet both the structural requirements of Miami-Dade for impact protection and energy rating requirements of programs sponsored by the Department of Energy. Finally, during the quarter we used cash generated during 2010, to prepay $3 million of outstanding bank debt. With that I will turn the call over to Jeff, who will review the results for the quarter in greater detail. Jeff.
Jeff Jackson: Thank you Rod. We are encouraged by the continued growth in our Florida market, with sales up 6.2% for our fiscal year ended January 1, 2011. Our fourth quarter Florida sales were up 14.4%, both positive indicators that the market is stabilizing and actually starting to grow. Now let me give you more detail regarding our fourth quarter results. We reported net sales of $39 million, which is an increase of 8.4% versus the prior year’s quarter. This increase continues to be driven by sales into the R&R market up 10%. Sales into the R&R market represented 74% of our total sales, and were driven mainly by our vinyl window sales which were up $3.3 million. Our total sales dollar increase of $3 million was driven by sales within our core market Florida, which increased $4 million in sales. Florida sales represented 81% of total sales in 2010 and 77% of total sales in 2009. This $4 million increase in Florida sales includes increases in WinGuard both aluminum and vinyl of $1.9 million, non-impact vinyl of $1.3 million, and PremierVue was $300,000. The increases related to vinyl products show our commitment to sell into a changing Florida market. In total, we have increased vinyl sales into our Florida market when compared to previous years by an average of 70% for the four quarters beginning with the first quarter of 2010, when we launched our SpectraGuard line designed for the Florida market. This product which sales of which totaled $2.6 million for the year combined with increases in vinyl WinGuard sales into Florida of $1 million, shows that we are positioning our company to serve and capitalize on opportunities presented by the shift to vinyl within our Florida market. In total, our WinGuard products both aluminum and vinyl, continue to lead our sales representing 61% of our sales for the fourth quarter. Breaking down our sales drivers for the fourth quarter compared to 2009’s fourth quarter, we have WinGuard sales at $23.8 million versus $22 million, up 8%. Vinyl non-impact and other product sales were $8 million versus $5.7 million up 40%, Aluminum non-impact product sales at $4.5 million versus $4.9 million down 8%, architectural system sales were $1.5 million versus $2.7 million, down 44%, PremierVue sales were $1 million versus $600,000 in the fourth quarter of 2009. Our adjusted gross margin for the fourth quarter was 25.8% versus adjusted gross margin of 28.2% in the fourth quarter of 2009. Our decrease in gross margin percentage of 240 basis points was driven by a change in mix towards vinyl products in both impact and non-impact which reduced our margins by about 250 basis points, and increased overhead spending related to healthcare and other employee related costs which reduced margins by 150 basis points. Offsetting these decreases was an increase in volume which improved margins by 140 basis points. With respect to mix our vinyl non-impact products carry a contribution margin of approximately 21%, while impact products carry a contribution margin ranging from 45% to 50%. Our vinyl non-impact margins are lower in part due to the competitive nature of the markets for these products, especially outside the State of Florida. We will continue to work on various initiatives to improve our vinyl non-impact margins. Our average cost of aluminum was approximately $2,158 per metric ton during the fourth quarter, comprised of spot purchases averaging $2,196 per metric ton or approximately 42% of our needs and hedged purchases averaging $2,130 per metric ton or 58% of our needs. This compares to the fourth quarter of 2009’s average cost of $2,087 per metric ton. As of to-date we are hedged at approximately 49% of our estimated needs for 2011, at an average of $2,330 per metric ton. The current cash price as of February 24th was $2,491 per metric ton. Our coverage includes zero cost collars for approximately 20% of our second half needs for 2011. These collars represent a ceiling at $2,700 per metric ton and a floor at $23 per metric ton. Should prices remain in this range – within these ranges, these collars will have no effect. Our selling, general and administrative expenses were $13.5 million, up $2.1 million when excluding consolidation, restructuring and non-cash impairment charges from both periods. Driving this increase was $1 million in incremental bonus expense, an increase in non-cash stock compensation expense of approximately $600,000, which going forward, we anticipate non-cash stock comp expense to be $1.7 million in 2011, approximately $500,000 in increase salaries resulting from returning employees to the 2009 base levels, approximately $300,000 in healthcare cost increases offsetting – offset by overall lower spending in various other categories of approximate $300,000. Excluding consolidation, restructuring and non-cash impairment charges, SG&A as a percent of sales was 34.6% in the fourth quarter, compared to 31.6 % in prior year’s fourth quarter. Excluding non-cash stock compensation expense and additional bonus accrual of $1 million, SG&A as a percent of sales was 32.1% and 31.3% respectively. Interest expense was $1.2 million, compared to $1.6 million in the fourth quarter of 2009. The decrease relates to our lower debt compared to prior years as we made $20 million in prepayments in the last 12 months. At the end of the fourth quarter, the interest rate on our bank debt was 6.75% based on our credit agreement and its tiered interest rate structure. As Rod mentioned earlier, in the fourth quarter of 2010, we decided to close our North Carolina facility and consolidate all operations into Florida. At this time I am pleased to report that the consolidation is on schedule and is expected to be completed by the end of our second quarter. Our timeline allows for us to move product lines with minimal impact on our customers. In the fourth quarter, we recorded a non-cash impairment charge of $5.6 million related to our plant in North Carolina, as well as some equipment, in connection with the consolidation. In addition, we recorded $2.1 million in consolidation charges related mainly to severance costs. We will continue recording consolidation charges throughout the first and second quarters of 2011. At this time we currently anticipate incurring between $6.5 million and $7 million in total cash consolidation charges, including the charges recorded in 2010. Our estimated savings from the consolidation is approximately $7 million annually of which, we estimate to recognize $3 million in our fiscal year 2011. During the fourth quarter of 2010, we did not record any tax expense or benefits. We had an effective tax rate of zero due to the full valuation allowance that we apply to our deferred tax assets. As a reminder during the fourth quarter of 2009 our effective tax rate was a benefit of 106% due to a combination of two items, a loss carry back receivable of approximately $3.6 million related to recently passed legislation allowing companies to carry back 2009 or 2008 losses up to five years, as well as an inter-period tax allocation of approximately $1.8 million. In May 2010, we did receive that refund of approximately $3.6 million related to our carry back. Going forward, we anticipate our tax rate to range – in the range of 38% to 39% absent any further adjustments in the valuation allowance as we become more profitable, we’ll be in a good position to realize our deferred tax assets by offsetting future income. We had a net loss in the fourth quarter of $12.2 or $0.23 per diluted share, versus a net income of $301,000 or $0.01 per diluted share in the fourth quarter of our prior year. This net loss in the fourth quarter of 2010 includes $2.1 million in consolidation charges and $5.6 million in non-cash impairment charges. The net income in the fourth quarter of 2009 includes $1.5 million in restructuring charges and $742,000 in non-cash asset impairment charges. Adjusting for consolidation, restructuring costs and asset impairment charges, there was an adjusted net loss of $0.09 in the fourth quarter of 2010, as compared to net income of $0.07 in the fourth quarter of 2009. As a result of the rights offering completed near the end of the first quarter, weighted average outstanding diluted shares were $53.7 million in the fourth quarter, versus prior year’s weighted average outstanding diluted shares of 37 million. Adjusted EBITDA was $228,000 for the fourth quarter versus adjusted EBITDA of $2.9 million in the fourth quarter of 2009. The 2010 EBITDA was adjusted for consolidation charges of $2.1 million and $5.6 million in non-cash asset impairment charges I mentioned earlier. The 2009 EBITDA was adjusted for prior year restructuring charges of $1.5 million and $742,000 in non-cash asset impairment charges. The decrease in EBITDA of $2.6 million is due mainly to a shift in mix towards our lower margin products, which offset margin gains from additional sales as well as the previously mentioned $1 million in bonus accruals and increase in non-cash stock compensation expense of $600,00, approximately $500,000 in increased salaries resulting from the returning employees to their 2009 base levels and approximately $300,000 in healthcare cost increases. As additional information, our fourth quarter depreciation and amortization totaled $3.7 million. A reconciliation of net income and EBITDA is included in our earnings release for your reference. Now turning to the balance sheet. At quarter end our net working capital excluding cash decreased by $3.7 million compared to the end of the third quarter. Days sales outstanding stayed flat at 42 days during the quarter. In reviewing free cash flow for the quarter, we had adjusted EBITDA excluding non-cash stock compensation of $900,000. We repaid $3 million in long-term debts. We had acquisition cost of $2.6 million. We had capital additions of $800,000. Cash paid for interest was $900,000 and we received $3.6 million from working capital primarily related to AR and inventory. Additionally, we used $400,000 related mainly to margin placements resulting in cash on hand of $22 million at the end of the fourth quarter. Our net debt and corresponding leverage ratio at the end of the fourth quarter of 2010 was approximately $28 million and 1.7 times. This compares to net debt of $60.6 million at the end of the last year’s fourth quarter. Our annual sales growth in the first – it was the first we’ve seen since 2006. We believe the worst is over, but we still have bumps to overcome including high unemployment rates, declining prices in homes, high inventories of unsold homes including so called shadow market of unsold homes, and ongoing legal issues surrounding the foreclosures. This will be a good year to position our company for when the Florida market does return and we expect vinyl products to obtain a larger share of the market than in the past. And we have taken steps necessary to dominate the Florida vinyl market. In addition we are taking steps including the consolidation of our North Carolina facility to improve our entire production chain and gain more efficiencies. Accordingly, we’ll be in a stronger position to improve our margins going forward. With that, let me turn the call back over to Rod. Rod?
Rod Hershberger: Thanks Jeff. Our new products including our new vinyl sliding glass door introduced at the 2011 International Builders’ Show demonstrates our continued commitment to be on the cutting edge of new product development and to produce high quality products that build previously unfulfilled needs in the marketplace. Although our decision to close our North Carolina plant and concentrate our efforts in our core market of Florida and the Gulf Coast regions was a difficult one, it also properly reflects our continued focus on serving markets which have the greatest potential to drive long-term profitable growth. We believe that focusing our efforts on Florida market and coastal markets from Texas to the Mid Atlantic will be use of our core competencies and ensure continued and even expanding market dominance in these areas. We also believe this strategy will provide the most benefit for our stockholders, employees, and other stakeholders. I thank all our employees and our customers for continuing to believe in us, commit to our strategy and outperform our expectation. With that I’ll conclude and Jeff and I will be happy to answer your questions. Karen, if you could get the first question please.
Operator: (Operator Instructions) And we have a question from the line of Nishu Sood of Deutsche Bank.
Rob Hansen – Deutsche Bank: Hi it’s actually Rob Hansen on for Nishu.
Rod Hershberger: Hi Rob.
Rob Hansen – Deutsche Bank: So now that you’ve closed the North Carolina plant. Is this is a broader kind of strategy change where you won’t be focusing on sales outside of Florida, do you still have sales in place up and down the outside of Florida and is that going to be continued to be a focus?
Rod Hershberger: A couple of things Rob, what our North Carolina plant about 60 – between 60% and 65% of the product we were manufacturing, we were shipping back into Florida. It’s kind of, if we go back the remainder is that we were out of capacity in our Florida facility and we needed to expand, so we could continue to grow. And with the downturn in the construction market, that off course no longer is the case. So a lot of that product was coming back into the Florida markets. We additionally, we were trying to expand a little bit into the Midwest and that’s the part that we’ve pulled back. So we don’t have all the sales people in place, but we do have sales people in place in the entire coastal areas. So everything we’ve talked about from Texas up to the Mid-Atlantic and up to those states, we’re still covering those areas. We’re seeing some – seeing a little bit of strength in some of those areas, making some in roads. So we’ll continue to really focus on kind of that market that we do really well at.
Rob Hansen – Deutsche Bank: Okay and what’s the utilization rate now in Venice, now that you’ve kind of transferred this stuff, the other operations over?
Jeff Jackson: Right now we’re currently in that transfer process. We’ll be finished with that at the end of the second quarter. So Rob, I’d hate to answer that question, till the end of the second quarter when we have all the lines up running.
Rob Hansen – Deutsche Bank: Okay. And what was the WinGuard gross margin in this quarter, I don’t think I caught that?
Jeff Jackson: The WinGuard margins were 35% this quarter and then all other was 10%.
Rob Hansen – Deutsche Bank: Okay and just the past – over the past few quarters it’s usually been over 40% and what not, any reason for – I guess what’s the reason for the Delta this quarter?
Jeff Jackson: Well if you look at it compared to our fourth quarter of 2009, its shear mix. The mix within WinGuard itself has changed more towards vinyl versus aluminum. That’s having an impact on us as aluminum costs have increased. And also we’re gaining more efficiencies in vinyl, but we are just starting, running the PremierVue line about a year ago. We’re still getting efficiencies out of that. So we have some ways to go there in terms of what we can do on the cost and efficiency side in improving margins on those products, on the vinyl products. If you look at it compared to the third quarter, it did decrease some in the third quarter. Again fixed cost stayed about the same, but it was just sales leverage. There in the third quarter we had a much more robust sales quarter and we’re able to leverage those costs, fixed costs a lot better. So it just depends on what cuts you want to look at, if it’s a sequential quarter or if this time last year.
Rob Hansen – Deutsche Bank: All right.
Jeff Jackson: We do expect increasing those margins overtime, but again we’ve got to get the plant consolidated up and running. And then we’ve got to drive efficiencies through the production to increase the vinyl margins.
Rob Hansen – Deutsche Bank: All right. Well, thank you guys.
Jeff Jackson: You bet.
Operator: Thank you. And our next question comes from the line of Sam Darkatsh of Raymond James.
Sam Darkatsh – Raymond James: Rod, Jeff, Brad how are you?
Jeff Jackson: Good.
Rod Hershberger: Great Sam, how are you doing?
Sam Darkatsh – Raymond James: I am doing great. I have three questions and two of them I guess piggyback the last set of questions that we just heard. First off, you gave contribution margins in your script for both WinGuard and also for non-impact. I’m guessing those were on the EBIT line, if you were just talking about the impact of volumes running through, could you help us excluding mix, excluding charges what contribution margins might look like on the gross line for both impact and non-impact?
Jeff Jackson: Excluding mix, excluding…
Sam Darkatsh – Raymond James: Like the charges, like you had this quarter and next.
Jeff Jackson: Yes, I would say normalized contribution margins for WinGuard again are going to range and on the vinyl side closer to the 35% to 40%, on the aluminum side 45% to 50% depending on the product. On the non-impact side, the vinyl side anywhere from 15% to 20%, on aluminum anywhere from I’d say 17% to 21%, 22% would typically a little bit better margins on non-impact aluminum. But again that depends on the aluminum prices and what they do.
Sam Darkatsh – Raymond James: And are those variable margins on the gross line or for cost of sales or for the EBIT line?
Jeff Jackson: Gross.
Sam Darkatsh – Raymond James: Those are on the gross line? Okay, got you. All right, and so on the operating expenses then, how would you ascertain that the fixed versus variable components to that then, at this point?
Jeff Jackson: Well at this point, yes, again I hesitate to answer that right now, because we are consolidating and we are definitely impacting a lot of those fixed expenses, i.e., North Carolina’s consolidation into this plant. Our overhead typically as a percent of sales averages, we got 18%, 20%. We are attacking that with the consolidation, so I expect to drive that percentage down, those fixed costs down, might be overhead is our fixed costs. So I don’t feel comfortable giving any kind of guidance on that at this point, until I figure – till we all figure out the impact of the North Carolina consolidation.
Rod Hershberger: Yes, same in the past we’ve talked a little bit. We manufactured PremierVue here in Florida, but the rest of our impact vinyl was manufactured in North Carolina. And I think I mentioned to Rob, and I don’t know if I did or not, but I think I mentioned to Rob that we’re shipping about 60 some percent of our product from North Carolina back down. So there is a savings in transportation costs when you move it all here, like that product was coming back down, but I’m not sure that we’re already talked about exactly what those numbers are going to remain here [ph].
Sam Darkatsh – Raymond James: And maybe I am confused then, the overhead that you’re referring to I think Jeff, is on the cost of sales line. In terms of the SG&A or the operating expenses, what caused ultimately when things shake out, or leverageable just trying to get a sense of how much is variable on the SG&A line?
Jeff Jackson: Yes, on the SG&A line that’s – I think that’s what Rod mentioned the distribution, that’s where we carry our distribution cost.
Sam Darkatsh – Raymond James: Got you.
Jeff Jackson: That’s definitely led leverageable, excuse me, on the SG&A line. And that’s where we’re getting actually probably a majority of our SG&A savings. That in the sales commission type line. Got it?
Sam Darkatsh – Raymond James: Got you. The second question or line of questions, the you’re outside of the State of Florida, your sales have been running roughly $8 million a quarter, and I guess this gets back to the prior questionnaire, it sounds like you’re going to be walking away from some accounts that it may make it less profitable or economic at least to service. So on a normalized basis then what should we look at over the next year or two from a quarterly run rate out of the non-Florida sales?
Jeff Jackson: We expect our non-Florida sales to come closer to – on a quarterly basis, I’d say $2.5 million a quarter on average, because we still sell our Eze-Breeze product outside the state. We’ll continue to do that. And we’ll still like Rod said, sell the coastal, we’re up the coast, we have sales reps in the Carolina’s. We have them in the Panhandle down to Louisiana, up through Texas actually. So we will still be hitting those markets, it will be vinyl impact probably related we’re hoping, more higher margin stuff. But $2.5 million a quarter in sales outside the state is probably a good starting point.
Sam Darkatsh – Raymond James: And that would occur after the plant is closed?
Jeff Jackson: Yes.
Sam Darkatsh – Raymond James: Okay. Last question, you mentioned in the script and on the release last night that the tax incentives may have pulled forward some demand into the fourth quarter. Any sense of quantification or how you would judge the impact of that, how is January and February looking, I mean what do we think in terms of what type of impact that might have happen?
Rod Hershberger: Maybe I’ll kind of jump in and answer that question, initially from the overall market view, and then I’ll try to quantify it a little bit better for how it affected us. I think window and door companies are pretty good uptick in sales in December. Some in November and December from the tax credits. And we saw a little bit of that same thing. We probably weren’t affected quite as much as some of the national companies because our market is driven a lot by impact and a $1,500 tax credit when you have to upgrade to IG [ph] impact all the bells and whistles, you’re adding as much or more cost to the product than you’re getting back in tax rebates. And the energy savings you get in the market that we serve, doesn’t really give you quite as good a payback. So I don’t think it affected us quite as much as others, I think we saw some pulling and we definitely saw that in December where we were getting phone calls and people had to have the product and had to get it installed before the end of the year. To put a number on it, Sam I don’t know that I could put a good accurate number on it. We came into January being maybe a little bit softer than we thought January would be but not a lot. January is always a little bit softer month, because people just – it takes a little bit of time to ramp backup after the holidays. And we attributed a little bit of that softness to the tax credit. We also attributed a little bit of it to the weather, every place other than Florida. So we definitely were affected by that. So I think it had a small affect, but I don’t think it was a real large one.
Sam Darkatsh – Raymond James: Okay, thank you much.
Jeff Jackson: Hi, Sam just I want to clarify one question you asked earlier about the impact of kind of pulling back from out of state. The number you had mentioned $8 million a quarter or so, that I look to see where you might have gotten that number, that’s probably including our international market as well because if you look at our total out of state sales for the year, out of state meaning out of Florida within the U.S. was about $25 million, international was about $8 million. Obviously international is not changing. We actually think international will grow year-over-year. So we’ll not say $2.5 million, I’m referring to just that out of state Florida but not the international piece. I just want to make you’re aware of that.
Sam Darkatsh – Raymond James: So it will be closer to $4 million or $4.5 million then a quarter?
Jeff Jackson: Exactly.
Sam Darkatsh – Raymond James: Okay, got you. Very helpful. Thank you.
Jeff Jackson: Thanks.
Operator: Thank you. (Operator Instructions) And our next question comes from the line of Michael Rehaut of JP Morgan. 
Will Wong – JP Morgan: Hi guys this is actually Will Wong on for Mike. How are you?
Rod Hershberger: Hi Will.
Will Wong – JP Morgan: I just had a quick question, aluminum prices have been trending upwards, and I know you guys have I think it was 58% of your aluminum spend for 2011 hedged. But can you talk a little bit about any price increases that you might think in the near future, if you expect any price increases just given that you guys haven’t really increased prices in the last years I think, but with the increases, do you expect any price increases?
Jeff Jackson: Actually we do – we were planning on and have announced to our customer base a price increase on average, I think it was 4% across the board – obviously it’s going to be different by product line, but averages out about 4% price increase. Mainly to deal actually, entirely to deal with increased cost in both aluminum and glass. Both those costs have increased year-over-year on us. And so we are going to be passing those cost increase along to the customer. That price increase will become effective on April of this year.
Will Wong – JP Morgan: Okay.
Jeff Jackson: So we will see that in the second – the benefits of that in the second quarter.
Will Wong – JP Morgan: Okay, great. And then in terms of the new product launches, you guys talked a little about the vinyl sliding glass door. Do you have any, or can you give us a little bit more color in terms of what do you expect from your new product launches in terms of contribution to revenue?
Jeff Jackson: Yes, I mean in terms of our contribution, on the impact side, it’s going to be one of our hopefully higher margin products. We’ve designed it, priced it and as such, because again we’re trying to drive more of the impact margins into the business. From a sales point of view, we’ve already got – approximately we launched sort to speak at the IBS in January. And we’ve already gotten orders in-house. Obviously if the market starts turning more towards vinyl, we think those orders are going to increase, given the mix shift. And then actually drive more window sales along with that, because if you think about people are hesitant to put the mix the aluminum to the vinyl in terms of windows. If you look at a contribution to sales, I don’t know, I would say I’d feel comfortable. We’re talking anywhere from $5 million in type sales for this new product over the next 18 months.
Rod Hershberger: Will, just to kind of give you a little bit history to – we introduced a new aluminum door, got expectations last year 2010 of what do we do and we actually exceeded expectations. We sold close to $20 million of that door. I want to clarify that wasn’t incremental sales because that also cannibalized some of the other door products that we had, but from an introduction standpoint, we’ve been very successful with some of those pretty high-end extremely high performing products. And this new vinyl door is kind of same thing now. The difference with the vinyl door and the aluminum door is the vinyl door should not be cannibalizing anything other than if people want to upgrade to an energy efficient product that may cannibalize some of the lower energy efficiencies, but from a product that its replacing, it’s not replacing anything. So we have some pretty high expectations for that door.
Will Wong – JP Morgan: Okay. And then in terms of housing stands, I guess they were down year-over-year in the fourth quarter, but first I mean obviously with the first half of the year there was an impact of the tax credit – housing tax credit. What are your guys expectations for Florida housing starts 2011?
Rod Hershberger: We think housing starts are going to bump up but saying it’s going to jump up by 10% or 15% is really not saying much because starts are so low, that they’re coming off of a real low base now. We’ve done some exercises in the past where we’ve talked about housing starts in Florida. If you normalize it over the last 15 years, it’s between 5.5 and 6 starts per 1,000 people, which gives us a 100,000 starts a year approximately. We’re coming off of a year where we did I think 20,000 some starts and we think it will go up to a little over 30,000, but that’s still about a third of where you would expect the housing starts to be on a normalized tight market.
Will Wong – JP Morgan: Okay, great. Thank you.
Operator: Thank you and I see no further questions in queue. I’d like to turn the conference back to Mr. Jeff Jackson for any concluding remarks.
Jeff Jackson: Well, thank you for joining us today. We look forward to speaking with you again next quarter, and if you have any further questions, please give call me. Thank you.